Operator: Good morning, ladies and gentlemen. Welcome to Emera Fourth Quarter 2015 Conference Call and Webcast. After the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time. Please note that this call is being recorded today, Tuesday, February 16, 2016 at 11:00 o’clock Atlantic Time. I would now like to turn the meeting over to your host for today's call, Scott LaFleur, Manager, Investor Relations for Emera. Please go ahead, Mr. LaFleur.
Scott LaFleur: Good morning, everyone, and thank you for joining us for our fourth quarter and year end conference call this morning. Joining me from Emera are Chris Huskilson, President and CEO; Scott Balfour, Executive Vice President and CFO; Greg Blunden, Vice-President, Corporate Strategy and Planning and in-coming CFO and other members of the Management team. Emera's fourth quarter earnings release was distributed earlier via Newswire and the financial statements and Management discussion and analysis are available on our website at emera.com. This morning, Chris will begin with a corporate update. Scott will provide an overview of the financial results and then Greg will provide an update on the TECO acquisition financing and the capital plan moving forward. We expect the presentation segment to last about 20 minutes, after which we will be happy to take questions from analysts. I will take a moment to remind you that this conference call will contain forward-looking information and statements with respect to Emera. Forward looking statements involves significant risks, uncertainties and assumptions. Certain material factors or assumptions have been applied in drawing the conclusions contained in the forward-looking statements. These factors or assumptions are subject to inherent risks and uncertainties surrounding future expectations generally. Such risk factors or assumptions include but are not limited to regulation, energy prices, general economic conditions, weather, derivatives and hedging, capital resources, loss of service area, licenses and permits, environment, insurance, labor relations, human resources and liquidity risks. A number of factors could cause actual results, performance or achievement to differ materially from the results discussed or implied in the forward-looking statement. In addition, please note that this conference is being widely disseminated via live webcast. Now, I will turn things over to Chris.
Chris Huskilson: Thank you, Scott, and good morning. Before I begin, I would like to introduce Emera's in-coming CFO, Greg Blunden. Welcome, Greg. Many of you who know Greg, since joining Emera in year 2000, he has been an important part of our finance and strategy team and has played key roles at Emera Maine, and Nova Scotia Power, as well at Emera itself. Greg was instrumental along with Scott in putting together the financing plan around the people acquisition. I want to welcome him to his new role, which officially begins March 1st. I would like to also congratulate Scott Balfour on his new position as COO, Northeastern Caribbean. Scott has contributed tremendous value to Emera, as CFO. I look forward to him taking on his new responsibilities for the bulk of our existing operations. Emera is undergoing significant expansion and these changes strengthen our capacity to manage this growth and achieve our strategic goals. Now moving to our results, Emera delivered adjusted net income of $330 million or $2.26 per share in 2015, compared to $319.2 million or $2.23 per share in 2014. Adjusted net income, excluding costs related to the pending TECO Energy acquisition, increased by 20% in 2015 to $382.8 million or $2.63 per share. Scott will take you through the details of the quarter and year-end results later in his remarks, but first I would like to touch on some key strategic highlights and milestone that Emera reached during 2015. 2015 was a year of important financial and strategic achievements for Emera. Building on our record of dividend growth, we increased our dividend to a total of 22.6%, bringing the annualized dividend rate to a $1.90 per share. We also raised our dividend growth target to 8% per year through 2019. In September, we announced a definitive agreement to acquire TECO Energy for U.S. $10.4 billion, including the assumption of approximately $3.9 billion of debt. We continue to move through major milestones for this acquisition, including the recent approval by FERC and the expiration of the waiting period for the Hart-Scott-Rodino Antitrust review. The remaining milestones include the Committee on Foreign Investment review and the New Mexico regulatory application. New Mexico Public Regulation Commission hearing has been scheduled to begin May 23, 2016. Once the New Mexico hearing is complete, the hearing examiner will submit a decision and then the commission will vote on the decision and issue an order. We continue to expect the acquisition to close in mid-2016. On the Maritime Link Project, I can report that construction is now underway on all major elements of the project. The converter station sites have been turned over to the contractors, who have begun foundation work. Manufacturing of the first to submarine cables is on schedule and well underway in Japan. Right away clearing along on the D.C. transmission routes is complete and clearing along the AC route is nearing completion. The first of the tower [ph] was installed and work continues on the approximately 650 steel structures in Newfoundland and Nova Scotia. The project continues to be on time and on budge. At Emera Energy, we saw a very strong fourth quarter both, from our trading and marketing business and from our generating fleeting. Trading and marketing had the best fourth quarter in the Company's history, reflecting growth in the volume of business largely from increased investment in transportation capacity rates. It should be noted that value of this capacity is primarily realized in the winter months, with the cost spaced evenly over the entire year. The generating fleet led by New England gas plants had a very strong quarter as well. Our gas plants enjoyed strong hedges as well as the fact that unlike 2014, when Bridgeport was down for maintenance, 2015 had all three U.S. plants up and running throughout the quarter. 2016 is shaping up softer than 2015, with lower spark spreads currently being seen in the forwards and lower hedged positions year-over-year. Last week, the results of the ISO-New England latest forward capacity auction FCA10, which covers the period from June 2019 to May 2020 that our clearing price for the majority of the region at just over $7 a kilowatt month. This is down from FCA9's $9.5, but is more than double where we are today and 60% higher than our business case for the plants. In an effort to optimize our portfolio, we have offered in and cleared an additional 85 megawatts in FCA10. 40 megawatts of this was a result of Bayside's first participation in the capacity market. Bayside's 40 megawatts of capacity obligation attracted a rate of $4 per kilowatt month and this revenue stream will add further stability to the [ph] In the rest of New England, Emera responded at the end of January to the Clean Energy Request for Proposals, the tri-state RFP, being conducted by utilities and state agencies in Massachusetts, Connecticut and Rhode Island. Those three states are now reviewing bids, which are intended to provide at least 5.1 terawatt hours of Clean Energy via long-term contracts of up to 20 years. Emera Main, in partnership with Central Maine Power has proposed what is being called The Maine Renewable Energy Interconnect. This project includes 150 miles of new transmission lines and substations. The new transmission lines and upgrades for the existing system will enable up to 1,200 megawatts of wind from several proposed projects in Northern Maine that are concurrently proposed in this RFP. We believe that the MREI is the most cost effective and technically straightforward option for meeting both, the 2020 delivery timeline and the energy requirements requested in the RFP. Emera in partnership with others continues to pursue several options for D.C. transmission projects to facilitate the collection and transmission of clean renewable energy resources from Maine and Canada into New England. Our focus for D.C. transmission options, including the Atlantic Link, is our procurement that we expect will result from proposed Massachusetts legislation that would enable imports of large-scale hydro and wind energy into New England. At Nova Scotia Power, we hit a record of renewable energy in 2015 with 26.6% of the electricity used by Nova Scotia is coming from renewable resources. The growth in renewable energy has largely been through the development of wind power. The Maritime Link in Muskrat Falls will be the next step, delivering hydroelectricity that will help push Nova Scotia power over its next target of 40% renewable by 2020. Nova Scotia Power recently announced it will be exploring new ways to create long-term savings with New Brunswick Power. Last year, they began cooperatively optimizing their generation fleets through joint dispatch and will now be exploring a regional approach to procurement. Pursuing a joint procurement process would allow the utilities to leverage their combined purchasing needs and allow for lower prices with higher volumes purchased. Exploring savings opportunities with New Brunswick Power and renewable energy aligns with Nova Scotia Power's ongoing commitment to provide stable and predictable rates for our customers. Moving to the Caribbean, we were able to increase our ownership in Emera Caribbean Incorporated to 95.5% with our initial offer to purchase the outstanding shares. We expect to obtain the remaining outstanding common shares through a secondary transaction recently announced. This transaction helps to streamline the ownership structure of our assets in the Caribbean and facilitates our continued commitment to the region. Emera Caribbean's net income increased 41.1% year-over-year and continues to provide significant value to Emera. Our outlook for the Caribbean is continuing to improve. We are seeing a significant improvement in tourism, which is helping improve electricity demand. Our solar plant in Barbados continues to progress well with substation construction underway, all contractors are fully mobilized and material shipments arriving on a daily basis. 2015 was a very good year. All our businesses improved their financial results and we advanced the business strategically. With that, I will turn things over to Scott, who will provide an overview of our financial results for the year. Scott?
Scott Balfour: Thank you, Chris, and good morning everyone. Our fourth quarter and year-end results were released late on Friday and are available on the Emera's website. Emera's consolidated net income in 2015 was $397.2 million or $2.72 per share compared with $406.7 million or $2.84 per share in 2014. When current year results are normalized for $67.2 million of mark-to-market gains, 2015 net income was $330 million or $2.26 per share. Mark-to-market gains were $87.5 million in 2014, so when normalized, adjusted net income in the prior year was $319 million or $2.23 per share. In 2015, Emera incurred TECO acquisition and financing costs of $52.8 million or $0.36 per share. Adjusted EPS was $2.63, excluding the impact of acquisition costs, representing an 18% increase compared to 2014. The increase year-over-year is primarily due to increased electric margin of New England plants, a strengthening U.S. dollar and improved results at Emera Energy and the Emera Caribbean. I will begin our segment results with Nova Scotia Power. Nova Scotia Power's net income increased 4% to $129.9 million in 2015, compared to that of last year. The increase in 2015 was primarily due to increased electricity sales due to weather. Emera Maine contributed $45.1 million to consolidated net income in 2015 compared to $42.4 million in 2014. The $2.7 million increase was primarily from the positive impact of the stronger U.S. dollar. As Chris mentioned earlier, Emera Caribbean's income increased 41.1% to $40.5 million in 2015. The higher net income is primarily due to the impact of the stronger U.S. dollar, decreased OM&G costs and increased electricity sales, primarily due to weather. The Pipeline segment contributed adjusted net income of $39.6 million in 2015 compared to $32.7 million last year. The increase was primarily due to higher earnings from Maritimes and Northeast pipeline and the impact of a stronger U.S. dollar and decreased interest expense. Emera Energy's adjusted net income increased 32.5% to $130.1 million in 2015 compared to last year. The increase was primarily due to increased margin at the Northeast generation facilities, which notably delivered earnings before interest, taxes and depreciation of $139 million in Canadian dollar terms, a strengthening of the U.S. dollar, the gain of the sale of Northeast Wind and increased contributions from Bear Swamp. Our Corporate and Other's segment posted $55.2 million loss in 2015 compared to a loss of $7.7 million in 2014. The variance was primarily due to $52.8 million in acquisition cost, relating to the TECO Energy acquisition, partially offset by increased income tax recovery and higher equity earnings. That is all for my financial overview, but before I hand it over to Greg, I would like to say that I have really enjoyed my CFO role here at Emera. The team has been great to work with and we have accomplished some great things. I look forward to my new role and challenges as COO, and I know that Emera, its investors and the team here are all in capable hands as I pass the CFO accountabilities to Greg. With that, I will hand it over to Greg to give you an update on our TECO financing and capital plan as he leads them [ph]. Greg?
Greg Blunden: Thanks Scott. Good morning, everyone. The financing of the TECO acquisition is progressing well, with approximately 85% to 95% of the pre-closed financing effectively hedged from a foreign-exchange perspective. Post transaction closed and with the hedging in place, declining Canadian dollar versus the U.S. dollar is beneficial to our EPS accretion. Our financing plan also provides the benefit of better aligning Emera's relative portion of U.S. earnings with our U.S. denominated debt. Emera and TECO have a combined $6.6 billion capital growth plan through to 2019. This growth plan provides a confidence to support our 8% dividend growth target. Once the TECO acquisition closes the possibility of extending that target past 2019. Our balance sheet remained strong, and with our businesses providing strong cash accretion and financial results. That is all for my very brief update, and now we will be happy to take your questions.
Operator: [Operator Instructions] Your first question comes from Linda Ezergailis from TD Securities. Your line is open.
Linda Ezergailis: Thank you. Congratulations to both, Greg and Scott.
Scott Balfour: Thanks Linda.
Linda Ezergailis: I have question about Nova Scotia Power. It is really helpful to get your 2016 guidance outlook in the MD&A and I am just wondering with the electricity playing act in applying some of the excess revenue to the FAM, as well as some of the tax benefits for South Canoe and Sable Wind projects. How might we think of the flow trends from NSPI in 2016 and 2017 as it looks now?
Scott Balfour: Linda, it is Scott. I think, there will be any real material change in terms of cash flow. I think that regulatory deferrals of course can have temporary impacts on a year-over-year basis. I do not think there is any real dramatic shift that you would expect to see in 2016 over 2015.
Linda Ezergailis: Okay. When are you going to file your three-year rate plan in the first quarter and is that going to be available to us, so we can just see it or?
Bob Hanf: Bob here, thanks, Linda, we are in the process of finalizing the filing. It will be a few weeks before we are ready to do that and we are ready to go.
Linda Ezergailis: Okay. Thank you. Just a follow-up question on your energy business, your trading margins have done quite well. I am just wondering you are growing business and yet obviously there is some volatility you can see in margins. How might we think of a maximum and minimum contribution in kind of a somewhat normal year absent extreme events like a polar vortex prospectively? If possible, if you could comment on how 2016 has started in that business?
Judy Steele: Linda, it is Judy. We are continuing to kind of guide within a range of $15 million to $30 million of net earnings. I would say you can probably kind of consider that in U.S. dollar amount, because frankly when we started saying that we were at a much lower exchange rate, so we are kind of taking that benefit out. It is hard to predict exactly, you know, the trading and marketing business, I think, contributed about $45 million to net income this year, but $20 million of it came in the fourth quarter, so we are kind of over this year, but we did not know that until November and December, so I still think that the $15 million to $30 million is a reasonable kind of guidance for what we can deliver and what we can expect the business to deliver kind of on a normalized basis and hopefully when those big years happen, we are in a position to capitalize on them.
Linda Ezergailis: Great. Thanks, Judy, and congratulations for another great quarter.
Judy Steele: Thank you.
Operator: Your next question comes from Paul Lechem from CIBC. Your line is open.
Paul Lechem: Good morning. Maybe just a follow-up on the Emera Energy on the trading business, can you give us some metrics around the increased investment in the transportation capacity. How much have you reserved. How does that change year-over-year? Looking forward, can you give us some commentary about that?
Judy Steele: We had about twice as much transportation capacity in the fourth quarter of '15 as we did in '14, so over 900 [ph] a day, and that we only came from one particularly large asset management agreement that we currently have in place. It is only for one year. It expires at the end of October 2016, so that did give us capacity that we did not have otherwise. We have got a significant of transportation capacity all the way through to the end of October of this year. The reality is, as most of the transportation that we hold comes to us on a relatively short-term releases of a year or less, so it can bring some volatility to the earnings, because it is an auction process and we have to value and bid for the capacity and sometimes we like the values that are transacting and other times we do not, so I would say it is fair to say, we have a healthy chunk available to us through to November 1st of this year and we will be adding to that over the summer presumably as we respond to different RFPs.
Paul Lechem: Okay. That is helpful. Switching gears to the Caribbean, I see there was a couple of either rates approved in Grand Bahama and also in Domlec, there is an ongoing discussion there around the cost of capital rising, so I just want to try and understand the downside risk in terms of the return, the large returns on your business there, can you give us a sense if both, the Domlec one and the Grand Bahama one remain at the approved levels or I guess the regulatory levels or what that could mean in terms of a headway to your Caribbean business?
Chris Huskilson: Well, I think, first of all the Domlec piece is very, very small, Paul, so it really is somewhat immaterial. On Grand Bahama, we are actually very happy with the rate structure that we have there. I think, our return on rate basis is in the 8.5-plus, so that is a return on rate base not on equity, so we are pleased with that and that business continues to perform very well as we have got it working well today. At the same time, we also are starting to see some growth there. I would say that that is primarily the case in both, Barbados and in the Bahamas, so you can expect some fairly substantive stability in the business as a whole.
Judy Steele: Paul, it is Judy again. I just want to add to my earlier answer. Most of the value in transportation capacity is the winter months and the shoulder months, so I just would not want to leave with you the impression that the second or third quarter will have the same value as our transportation capacity we are able to realize in a winter quarter.
Paul Lechem: Okay. Thanks, Judy. Thanks, Chris. One last question if I may on your holding in Algonquin Power, you have not participated in the last couple of equity raises there. Can you discuss, is there a new target in terms of your holding in Algonquin, in terms of the relationship. Can you just give us an update in terms of the strategic Investment agreement? Anything you can talk about in that front please? Thanks.
Chris Huskilson: Yes. I would say that, we continue to be the status quo our relationship with Algonquin, but this most recent issue that they made with the CD, and so would have been on likely that we would have anticipated in anything like that, so they did a very good job I would say marketing that in the market as a whole and we are certainly pleased with the way they are advancing the business.
Paul Lechem: Okay. Thanks, Chris.
Chris Huskilson: Thank you.
Operator: Your next question comes from Andrew Kuske from Credit Suisse. Your line is open.
Andrew Kuske: Thank you. Good morning. I guess, the first question is a broader question, just on your thoughts on the clean power plant and where we stand now. Obviously, it is a bit of state of flux, but how do you think about potential movements on the clean power plan with your existing set of assets, then especially as you close off TECO by mid-year.
Chris Huskilson: I guess, at this moment anyway we do not see much of a change in what is happening in New England. We certainly are well-positioned. Our view has always been to maintain a portfolio and to continue to develop transmission in that market, so I think I do not see any change there. The overriding factor in that market is the greenhouse gas initiative that the Massachusetts has anyway. Electricity has made a major contribution, so that continues to be the case. If we look at Florida, again, I think what is going on in that market is going to see more and more gas into the market over time. Certainly, TECO Energy is currently developing a project at Polk that will be an important future step. When it comes to be Peoples Gas, we are quite excited about the role that Peoples can play in reducing carbon intensity while reducing cost for customers. When we think about that business, we see lots of opportunity to invest. At this point, the clean power plant was not the big driver of our capital program as it was.
Andrew Kuske: Okay. That is helpful. Then maybe just drilling into your comments on New England just a little bit more, how do you think of the interplay or really the competitive dynamics of your transmission projects coming in from Canada into Northeast U.S. with effectively carbon free power versus some of the initiatives to put more gas into that market, which effectively will be having a greater carbon intensity versus your offering.
Chris Huskilson: Yes. At the end of the day, it is all about diversity and balance. As I said earlier, we are focused on maintaining a portfolio in that market. We think there will continue to be opportunities. I mean, I would go to the current RFP that is being reviewed as we speak. We think, we have put forward a very important step in improving the transmission system in the state of Maine. We think that that will not only provide the ability to move more clean energy in to that market, but it also will provide the opportunity to reduce some congestion that exists there today, so when you put that together that transmission focus is there. We continue to work on our gas plants to increase the capacity and we continue to see opportunities to do that. As you heard in my remarks, we have actually been able to get some of the baseline facility out of the St. John's, New Brunswick into that capacity market this time, so we are very pleased with that and we just continue to think that the market will evolve and diversity will be important to it.
Andrew Kuske: Okay. Great. Thank you.
Chris Huskilson: Thanks, Andrew.
Operator: [Operator Instructions] Your next question comes from Ben Pham from BMO Capital Markets. Your line is open.
Ben Pham: Thanks. Good morning, everybody.
Chris Huskilson: Hi.
Ben Pham: I wanted to go back to the New England RFP and I just one with that Maine interconnect line, you had a couple of SunEdison and those guy the Wind, facilities until RFP as well. Do you need that generation to secure a contract for the line to go through or is there existing generation an area that could backfill that line?
Chris Huskilson: Yes. There certainly are multiple bids that have gone in with that transmission, so we are very comfortable that we have enough megawatts hours that have been bid that would secure that transmission. As I said a few minutes ago, there is no question that ISO-New England will recognize that that transmission incremental investment will improve the current situation. There is certainly Wind and other resources in that market today that are being congested in that area, so this new 1,200 megawatts of capacity will really be helpful to the system as the whole. Putting all of those things together, we think will be very helpful.
Ben Pham: Okay. Thanks for that. Can you clarify, I think, in the last conference call you mentioned that you were potentially looking at bidding their project into the RFP, is that more and a subsequent one?
Chris Huskilson: Yes. We have about four different D.C. transmission projects that we are working on. The newest one is the Atlantic Link project and we see that as being very suited towards the legislation that is currently before the Massachusetts legislature, so that is really what its focus is.
Ben Pham: Okay. Then lastly, just a cleanup on the cost of the Newfoundland capital review, is that going to be retroactive beginning of 2016?
Scott Balfour: Ben, it is Scott. Truthfully, I do not recall as to sort of the effective date of that, but certainly whatever there are sort of contracted return on equity on our investment in Labrador Island Link would parallel the date of any effective change in the ROE approved by Newfoundland and Labrador regulator as it relates to Newfoundland Power, so I do not remember as to whether it is retroactive or not, but certainly would apply parallel to whenever that decision is.
Ben Pham: Okay. That is helpful. Thanks, everybody.
Chris Huskilson: Thanks, Ben.
Operator: Your next question comes from Robert Kwan from RBC Capital Markets. Your line is open.
Robert Kwan: Good morning. If I can just come back, Judy, to some of the disclosures gives around the energy marketing and trading side of things and the increase in volumes, I am just wondering in the fourth quarter was there some specific event that allow you to generate higher than normal profit given it did not feel like there was huge weather events during the quarter.
Judy Steele: No. If anything, it was little warmer than normal in the quarter, so to the extent that we had transportation capacity, we had more available. If was owned by LDC, our gas distribution company, they would mixed out, so we had a little more available capacity than we might have expect it to have had. We were not moving the gas at huge, huge premiums, but we did have an opportunity to move a little more than we would have otherwise expected to at that time of year, so that is the real thing, but the reality is that really is about the volume of capacity that we had at hand.
Robert Kwan: Right, so I guess with that it really was - I guess, I am trying to thinking into Q1 here, right, that we have not had great weather events either. If it is volumes, that Q4 number in theory should look pretty good for the first quarter as well?
Judy Steele: Well, we are only one month into the first quarter. I would say it looks okay for January.
Robert Kwan: Thank you, Judy. Then just a smaller cleanup here on Maine, can you just give us some additional color here around the AFUDC audits and then just the transmission revenue adjustments. I know the latter tends to come up from time-to-time, but just if there is anything with respect to Q4 that would be great?
Chris Huskilson: AFUDC and Maine.
Greg Blunden: Yes. There was a slight adjustment in the fourth quarter of $2.2 million if memory serves that we took that [ph] in the fourth quarter and that fully addresses the FERC review through the period.
Scott Balfour: As it is relates to the FERC tariff, we have been working to normalized that more and more overtime and I think we feel we are in pretty good shape relative to that situation right now, Robert.
Robert Kwan: Okay, but it sounds like both items are generally non-recurring and related to prior periods?
Chris Huskilson: That is correct. That is the way to say it. Yes.
Robert Kwan: Okay. Great. Thank you.
Operator: [Operator Instructions] Your next question comes from Stephanie Brinkman from RBC Global Asset. Your line is open.
Stephanie Brinkman: Hi. Good morning. Can you please comment on the materiality of project delays and cost overruns at Nalcor with regard to the Muskrat Falls and the Maritime Link Project?
Chris Huskilson: Yes. As far as the project itself goes, Emera is responsible for the Maritime Link portion of the project and we do not have any connection to the cost structure of the other portions of the project. In fact, even as it relates to Maritime Link, there is a cost sharing mechanism relative to our relationship with Nalcor, so there is really no connection from a cost perspective first of all. Again, I would remind you that Maritime Link is on time and on budget as we sit today. As it relates to the timing of energy coming available, essentially we will be working to make the Maritime Link used and useful just as soon as it is available for operation and we expect that to be late in '17. As it relates to the generation, we are mostly focused on making sure the transmission is in place, there are generation sources across that system that we would use and the Muskrat will be online when it is ready.
Stephanie Brinkman: Okay. Great. Thank you.
Chris Huskilson: Thank you.
Operator: At this time, I have no further questions. Thank you. I would turn the call back over to presenters for closing remarks.
Chris Huskilson: Okay. Well, thank you very much folks. As I said earlier, 2015 was a very good year for the business. We advanced both, from a commercial and financial perspective and also from a strategic perspective, so we are very pleased with the year and we are happy with your attention to Emera. Thank you very much. Have a good day.
Operator: Thank you everyone. This concludes today's conference call. You may now disconnect.